Bill Robertson: Good morning. I'm Bill Robertson, Vice President of Finance for Visteon. Welcome to our Earnings Call for the Fourth Quarter and Full Year of 2016. Please note this call is being recorded and all lines have been placed on listen-only mode to prevent background noise. Before we begin this morning's call, I would like to remind you this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future results and conditions or rather are subject to various factors, risks, and uncertainties that could cause our actual results to differ materially from those expressed in these statements. Please refer to the Slide entitled forward-looking information for further details. Presentation materials for today's call were posted on the Investors Section of Visteon's website this morning. Please visit www.visteon.com/earnings to download the material if you've not already done so. Our Form 10-K was filed earlier this morning with the news release. Joining us today are Sachin Lawande, President and Chief Executive Officer; and Christian Garcia, Executive Vice President and Chief Financial Officer. We have scheduled the call for one hour and will open the lines for your questions after Sachin and Christian's remarks. Please limit your questions to one question and one follow-up. Thank you for joining us on our call today. Now I'll turn it over to Sachin.
Sachin Lawande: Thank you, Bill. On Page 2 let me briefly cover our consolidated fourth quarter 2016 results for our Electronics Product Group. The fourth quarter is traditionally one of our strongest quarters on a seasonally adjusted basis. I'm particularly pleased with our overall performance in the fourth quarter across several key metrics. We achieved sales of $803 million in the quarter, an increase of 4% versus the fourth quarter of 2015. We delivered adjusted EBITDA of $98 million and our 12.2% adjusted EBITDA margin was 150 basis points improvement compared with the same quarter a year ago. Adjusted free cash flow of $79 million was up 20% versus the fourth quarter of 2015. We won $1.3 billion in new business in the fourth quarter, with significant wins in key product areas which I will discuss in more depth later. I'm very proud of the work of Visteon employees around the world to generate the strong results and help us finish the year on a high note. In the rest of the presentation, I will provide more details on our operations in the quarter. Moving to Page 3. On this page, we highlight key accomplishments for the year. 2016 was the first full-year of execution of our strategy and I'm pleased with the progress the company has made in sales and business development, profitability, and in other key operational areas of the business. We delivered $3.1 billion in electronic sales, while launching 59 new products during the year, two-thirds of which were in China our largest market. New business wins reached a record $5.4 billion, up 26% year-over-year. Visteon is now clearly seen as a strategic supplier by several of the leading auto manufacturers in the world. Our backlog of $16.5 billion at year-end is 11% higher than a year earlier. With respect to profitability and cash flow, we achieved an Electronics adjusted EBITDA margin of 11.1% in 2016, an increase of 160 basis points over the prior year. I'm pleased to say that we increased our long-term adjusted EBITDA margin target from 12% to 14% while continuing to invest in future technologies and we generated positive adjusted free cash flow of $167 million during the year. With a strong cash and liquidity position, we initiated new share repurchase authorization for $400 million. We also made substantial progress in improving the operational capability of the business in 2016. We completed the development of our next-generation infotainment system platform which was launched at CES earlier this year and started the development of Autonomous Driving Technology and we continue to successfully recruit high caliber tech talent to lead these new initiatives. And finally, we substantially completed our legacy restructuring actions allowing us to focus on driving growth in our core cockpit electronics business. Turning to Page 4, as we have discussed from prior calls winning new business has been a priority for Visteon to drive revenue growth. During the fourth quarter of 2016, we continue to build on the strong momentum created during the year and won new business with expected lifetime revenue of approximately $1.3 billion. This brings our new business wins to $5.4 billion for 2016 that is about $1.1 billion higher than 2015, a 26% increase. Building on our market leadership in combiner head-up displays, our fourth quarter wins included our first windshield head-up display award. The strategic win with a leading China domestic OEM is the first of what we expect will be many significant windshield head-up display awards in the months to come. We also landed a significant infotainment win with a Chinese domestic automaker. This is our first infotainment system win in China in the commercial vehicle market and will boost our overall infotainment volumes within China. Finally, we were awarded a major global instrument cluster award by North America-based OEM. We continue to perform very well in the instrument cluster segment based on the strength of our technology platforms in this space. On Page 5, we show you our total awarded business backlog which stands at a record $16.5 billion at the end of 2016. Our awarded business backlog has increased by $1.6 billion or 11% versus year-end 2015 achieving our aggressive goal of double-digit growth for the year. This order backlog which represents cumulative remaining life-of-program booked sales remains at a level more than five times greater than our 12-month sales, which underscores the health of our business and the attractiveness of our technology to the world's leading automakers. We have successfully diversified our customer portfolio and a regional breakdown of the awarded business is very balanced and leaning towards regions that have faster growth profiles. Our strength in instrument cluster technology is reflected in the business backlog and they're also winning in other core product areas such as displays, infotainment, and head-up displays. As mentioned before that the growth of the backlog is a good leading indicator of the future growth in sales for the business. I'm encouraged by ability to grow the backlog this year and thankful to our customers who have placed their trust and confidence in Visteon. Moving to Page 6, on our second quarter call earlier this year, we said that we were expecting a rebound in our sales in China for the second half of the year. We subsequently reported strong China sales in the third quarter. I'm pleased to report that this trend continued in the fourth quarter as our China sales exceeded vehicle production volumes and we saw a double-digit sales increase compared with the same quarter a year earlier. As shown on the left side of the page, in the fourth quarter, Visteon sales increased 43% year-over-year on a constant currency basis. This is against a backdrop of China passenger vehicle production volumes growing 17% in the same period. For the full-year Visteon sales in China increased 26% on a constant currency basis. The faster than market growth is due to the new product launches and Visteon's customer mix which is growing more quickly than overall market. Visteon's current sales in China are largely the joint venture and international OEMs. In the past few years domestic China OEMs such as GE have grown very rapidly and are now approximately 40% of the market. In the past year, we made it a priority to expand the relationship with domestic channel OEMs while continuing to grow with the joint venture OEMs. We are pleased to report that we won $1.8 billion in new business in China in 2016, an increase of 84% over prior year, with a greater portion of this business coming from domestic China OEMs. Moving to Page 7. On this page we show key financial metrics for the business over the past three years. We have been very focused and disciplined in our approach to the business and this focus on execution has resulted in significant improvement in profitability. When Visteon acquired JCIs Automotive Electronics Business in mid 2014 the new business pipeline of both Visteon and JCI was not strong due to the uncertainty about their future. Also the product and technology portfolio was not streamlined and has significant gaps. This management team has successfully integrated JCIs business while delivering beyond the synergy case for the acquisition. We now have one of the strongest technology and product portfolio for cockpit electronics in the industry and have demonstrated that they can take more than our fair share of new business awards. And we have done this while reducing cost which has resulted in improved profitability even in a flat sales environment. For 2016 we finished the year with engineering cost at 9.5% of sales the same as in prior year while supporting an increased number of customer programs and investing in new technologies such as infotainment and autonomous driving platforms. Adjusted SG&A was reduced to 6.5% of sales as compared to 7% in the prior year. We will continue to focus on cost and reduce fixed cost in the business to drive higher profitability, especially as we start to see the new business wins convert into revenue. Now moving to Page 8, as I have said before, Visteon has the broadest product and technology portfolio for cockpit electronics in the industry. And in 2016 we further strengthened our position. We are pleased to report that ABI Research has named us as a Top Five supplier for connected car solutions, while IHS has named us as the number two supplier of instrument clusters and displays and number three supplier of head-up display solutions to the industry for 2016. Cockpit Electronics is a dynamic industry that's evolving very quickly and I would like to briefly discuss the key trends that are driving this product segments. Instrument clusters are transforming from hybrid, analog and small display clusters to all digital and reconfigurable clusters. In addition, to support new HMI requirements driven by emerging autonomous driving technologies, clusters are required to support travel monitoring, gaze tracking, and also 3D technology for the high-end. Head-up displays are one of the fastest growing products with windshield head-up displays entering mass market vehicle segments. There is also an emerging need for augmented reality head-up displays to support new ADAS capabilities. Cockpit domain controllers are starting to become more common across the industry as silicon and software suppliers emerge to support this capability. Besides instrument cluster and infotainment, new product domains such as ADAS are being added to the cockpit domain controller. With center stack displays, the trend is to use larger displays that are more curved or even free form and with tactile touch feedback. And audio and infotainment are reaching an inflection point with the integration of smartphone metering technologies at the entry segment and mid and high infotainment systems becoming mobile app platforms. Visteon is tracking this trends very closely and we demonstrated many of this new technologies at CES this January. With these new technologies, I'm confident that we will continue to strengthen our competitive position in the industry. Moving to Page 9, on this page I would like to discuss the significance of cockpit HMI to autonomous driving. Many of the new capabilities in cockpit HMI that are emerging are based on the requirement to support the evolution towards autonomous driving. The last significant change to offer a cockpit electronic HMI was driven by the introduction of infotainment technology in the cockpit. This required the industry to move beyond hard buttons and knobs and to touch screens and haptic controllers. The evolution of infotainment from turn by turn to full map and the transition to digital media has driven much of the evolution we have seen in the cockpit electronics HMI such as center stack displays with touch capability, digital instrument clusters, and head-up displays. Visteon has done well in this phase of cockpit electronics HMI as discussed in the previous slides. Now there is another transformation of the cockpit electronics underway driven by the requirements for autonomous driving to manage the transition of vehicle control between the driver and the vehicle especially for Level 3 and higher automation. We expect Level 3 self driving car functions like highway auto pilot and self parking will be on the market by 2020 from several OEMs. By this timeframe, we expect augmented reality head-up displays, 3D instrument clusters, and eye-gaze tracking to enable the driver to relinquish control of their vehicle in certain conditions and be alerted as necessary to take back control of the vehicle. We see a lot of alignment between the evolution of autonomous driving technologies and the new HMI capabilities. And as I already mentioned, Visteon is developing this cockpit HMI features as part of the technology roadmap for our core products. And as the industry moves towards autonomous driving this features will become increasingly important in winning future business. Moving to Page 10, on this page we show our roadmap for significant new technology development at Visteon that extends our product portfolio. This is an area where we have made major progress in 2016 in our ability to define staff and execute new technology development initiatives. I would like to note that enhancements to existing products such as instrument clusters and head-up displays are considered as instrumental innovations for the purpose of this discussion. I'm very pleased to report that we launched a new infotainment system platform called Phoenix at CES in Las Vegas in early January. This technology enables Visteon to offer mid and high infotainment in addition to entry infotainment and puts us in the shortlist of only a handful of Tier 1 suppliers that have this capability. Phoenix infotainment platform uses the latest innovations and software for delivering the first app environment for embedded infotainment that's highly cyber secured and also fully upgradable over the air. The response from customers at CES for Phoenix was very promising and they are actively following up for multiple opportunities at this time. Overall, CES was a very successful event for Visteon with over 45 OEMs from all over the world visiting our booth. Many of the upcoming HMI technologies that I mentioned earlier were demonstrated at this event. In 2016, we also ramped up our autonomous driving technology platform development which will focus on the development of fault tolerant hardware and software to enable centralized processing or sensor information using algorithms based on deep machine learning capability. This extends our product portfolio from cockpit HMI and into the very heart of the vehicle driving experience of the future. We have successfully recruited top notch talent from different companies in the industry to lead this initiative and early engagements with OEMs have been very encouraging. We expect to launch this new technology platform at the next CES in 2018. These new technology initiatives will strengthen Visteon's position and cockpit HMI while extending our capability in the most exciting and transformative area of automotive electronics which is the autonomous driving technology. Moving to Page 11, on this page and the next, I would like to focus on the business environment we are facing in 2017 and the key priorities for Visteon. First, we are expecting a modest improvement in global production volume for 2017 versus 2016. IHS is expecting global production volumes to grow 1.9% in 2017 with China and Europe showing positive growth while North America is forecast to reduce by 1.5%. Moreover the Top 10 Visteon customers are forecast to grow less than 1% when weighted on sales. A bright spot for Visteon will be China where our sales will continue to grow at double-digit rate based on new product launches in 2016 and in 2017. Furthermore, we expect to benefit globally from cockpit electronics sourcing decisions at OEMs driven by trends we have discussed earlier such as the transition of instrument clusters to all digital, consolidation of ECUs into domain controller, and upgrade of infotainment to next-generation solutions. We expect 2017 to be similar to 2016 in terms of the macro business environment and we are confident that our product and technology portfolio coupled with a relentless focus on execution will continue to drive success in 2017 as well. Moving to Page 12, here we outline the strategic priorities for Visteon for 2017 that will set the stage for us to achieve our longer term plans. The first priority is to continue to improve our core business by growing sales and improving margins to 11.5%, up from 11.1% for 2016, despite minimum help from the top-line. We also aim to drive new business wins to be on track to achieve a combined $12 billion target for 2017 and 2018. The next priority is to accelerate our China business by growing sales as well as new business wins. This involves leveraging our new products such as SmartCore and Phoenix infotainment solutions as well as the excellent relationships and joint ventures that we have in the world's largest automotive market. Third, we will continue to develop new technologies as I've mentioned earlier. We intend to launch by early 2018 a new autonomous driving platform that's targeting Level 3 plus capabilities. Our strategy yielded strong results in 2016 and over the last three years, our total shareholder return of 68% has significantly outperformed the S&P 500 and our peer group. I'm confident that we are on track for another successful year in 2017. That concludes my overview comments and now Christian will walk you through our financial results for the fourth quarter and for full-year for 2016.
Christian Garcia: Thanks, Sachin, and good morning everyone. Let me provide the company's key financial results for the fourth quarter and full-year 2016 for our Electronics Product Group which are shown in Page 14. As explained on prior calls, our financial results are impacted by a number of items that make year-over-year comparisons difficult. The adjusted financial information presented on this slide excludes this items and represents how we manage the business internally. These are non-GAAP financial measures that are reconciled to U.S. GAAP financials in the attached Appendix that starts on Page 21. Also we have reclassified the majority of our climate and interiors businesses as discontinued operations in our financial statements. As a result, our income statement has been adjusted to exclude the portions of climate and interior specific income expenses that are now reflected as discontinued operations. The financials on this page reflect our ongoing Electronics Product Group and exclude discontinued and other operations. Electronic sales of $803 million in the fourth quarter increased by 4% compared to prior year. This is the highest quarterly growth rate we experienced in the year. In the quarter, we saw a double-digit growth in Asia driven by new product launches in the region, particularly in China. As Sachin mentioned, we believe that the momentum that we have seen in China in 2016 will continue into 2017. Adjusted EBITDA for Electronics was $98 million, representing an 18% increase over fourth quarter 2015. The year-over-year increase largely reflects higher volumes and favorable currency related to balance sheet evaluation. Adjusted free cash flow for Electronics was positive $79 million in the quarter versus $66 million in the fourth quarter of 2015. The increase is primarily explained by increased adjusted EBITDA. I will cover each of these metrics in more detail on the following pages. On Page 15, we highlight Electronics sales, adjusted EBITDA, and adjusted EBITDA margins for fourth quarter and full-year 2016 versus the same periods last year. Electronics sales for the fourth quarter 2016 were $803 million and adjusted EBITDA was $98 million. Both are quarterly records for this segment and evidence of the progress we have made in our journey to transform the company. Sales increased by $28 million versus 2015 as the benefit of new business wins was offset by customary pricing arrangements with customers. Adjusted EBITDA increased $15 million in the fourth quarter versus 2015. The increase reflected the impact of new business and favorable currency related to balance sheet evaluation. The currency impact was driven primarily by movement in the Japanese Yen and Euro during the quarter. Our business equation for the quarter was neutral as material and manufacturing cost savings were offset by contractual pricing arrangements with our customers and increased warranty costs. For the year, the business equation improved adjusted EBITDA by approximately by $25 million. Electronics adjusted SG&A for the year was $203 million or 6.5% of Electronics sales down from 7.0% of sales in 2015. We will continue to focus on achieving SG&A reductions in 2017. Adjusted EBITDA margin was 12.2% in the quarter and we ended the year with an adjusted EBITDA margin of over 11% which is a new milestone for the company. This represents an improvement of 160 basis points compared to 2015. Page 16 provides our cash flow. Total adjusted free cash flow was positive $82 million in the fourth quarter compared to $62 million in the fourth quarter of last year. On this page, we have separated the Electronics cash flows from the cash flows related to other and discontinued operations. Our core Electronics adjusted free cash flow was positive $79 million in the quarter compared to $66 million in the fourth quarter of last year representing a growth of 20%. The year-over-year increase in adjusted free cash flow reflects increased adjusted EBITDA, improved freight working capital, and lower capital expenditures. We have restructuring and other payments of $19 million in the quarter. We are currently executing on the restructuring program which we anticipate to complete towards the second half of 2017. We estimate that we will have additional cash outflows associated with this program of approximately $40 million in this coming year. Cash and short-term investments at the end of the year were $882 million and debt was $382 million. We continue to have a very strong capital structure with a net cash position and debt-to-EBITDA of 1.1 times. On Page 17, we are pleased to announce that our legacy related actions are largely completed allowing us to focus on our core cockpit electronics business. Activities related to the former climate product group are shown in the left. As you know, we divested our 70% stake in the former Halla Visteon Climate Control business in the second quarter of 2015. Since then, we have taken additional actions related to the remaining pieces of the climate business, including selling our South Africa operations and closing our South America operations in the fourth quarter of 2016. We are finalizing the repurchase of the electronics portion of the business in India that was initially included in the climate divestiture and anticipate completion in the first half of 2017. Similarly we divested the majority of our interiors business in the fourth quarter of 2014. Since then we sold our South America interiors operations in the fourth quarter of 2016. What remains is a $30 million Europe payment related to the sale of the Berlin interiors facility in 2015 representing the funds that were held back at the time of sale. We expect to make this payment in the first half of this coming year. We expect to have no more payments related to the legacy businesses after the first half of 2017. Moving to Page 18, the company has had a long history of being committed to capital returns, returning $3.5 billion in the last five years. In 2016, we have distributed over $2.2 billion in a combination of share buybacks and special dividends. As we announced last month, our board has authorized a new $400 million buyback program which we anticipate to be completed through March of 2018. This underscores the confidence we have in our long-term growth prospects and shows our commitment to delivering value to our shareholders. We intend to execute the repurchase of our shares through a combination of open market and accelerated stock repurchase programs. Shareholder distributions will continue to be part of our capital allocation approach going forward and that the company continues to generate cash we expect that there will be more opportunities to further return capital to our investors. Turning to Page 19, we are reaffirming our full-year 2017 financial guidance for sales, adjusted EBITDA, and adjusted free cash flow. For the full-year, we are projecting sales of $3.1 billion to $3.2 billion, adjusted EBITDA of $355 million to $370 million, and adjusted free cash flow of $165 million to $180 million. We do not expect to have any sales or adjusted EBITDA related to our other product group or discontinued operations in 2017. As you can see from our guidance we are targeting an increase in adjusted EBITDA for the Electronics Product group in 2017 despite minimal sales growth. We anticipate that the improvement in profitability would be backend loaded as the first half of 2016 benefited from one-time adjustments for warranty expense and more favorable currency levels. Additionally, we would see more savings impact from our restructuring program and supplier negotiations in the second half of 2017. We are also targeting growth in our new business wins in the coming year and we expect that quarterly sourcing activity would follow historical patterns. Typically we see increased levels of sourcing activity in the second and fourth quarters compared to the first and third quarters of a given year. Now let me turn it back to Sachin for some closing thoughts.
Sachin Lawande: Thanks, Christian. Moving to Page 20, in closing we are very pleased with Visteon's performance in 2016 and that the value we delivered for our customers and shareholders. 2016 was the year in which we set the foundation for a much stronger Visteon, a technology focused company poised to capitalize on emerging cockpit electronics trends. I'm very proud of the work that everyone at Visteon has done to put us in the strong position. As we said at the Deutsche Bank Conference, in early January, we project our sales to grow to $4.7 billion in 2021 driven by current all-time high business backlog and expected new business wins this year and in 2018. Furthermore we increased our long-term adjusted EBITDA margin objective to 14%. In short, we are excited and optimistic about our future. Thank you for joining us today. Now I would like to open up the call for any questions.
Operator: [Operator Instructions]. Your first question comes from the line of David Leiker with Baird. Please go ahead.
Joe Vruwink: Hi good morning, this is Joe Vruwink for David.
Christian Garcia: Good morning, Joe.
Joe Vruwink: I wanted to talk about new business awards, if I just look at the quarterly cadence of what you have been winning, when you have been winning it seems that Q2 of last year suddenly something happens where Visteon is booking at a much higher level than it had been and subsequent quarters you continue to book at this elevated level. Now I don't know if it's easy to say CES 2016 was a very important event, a lot of good stuff shown, you've talked about meeting with more automakers and so I can tie up back into that. But the reason I ask is CES 2017, so what you did last month seemed to be an even bigger and better event, you certainly had a lot of new products, Phoenix's going to be meaningful and so is that event the driver where we can expect another stair step in new business awards may be next quarter, the quarter thereafter and sustain that higher level?
Sachin Lawande: Sure. So Joe the first thing I would say is with respect to new business wins, these tend to be lumpy and what we have seen historically is the second quarter is around then many of the OEMs finalize their sourcing decisions and it also happens to be the case this year that we see many of the decisions also likely coming into the fourth quarter. So that kind of explains just the lumpiness of this, the wins. On the question regarding CES, CES is obviously a strong boost in terms of improving our visibility. What -- the main reason why I feel that we will continue to have a strong performance with new business wins are the trends that I talked about earlier. So HMI, cockpit HMI is going through a transformation that we haven't seen in the last little while and we are seeing a lot of new awards that are coming up and we think that on account of the product portfolio and the technologies that we have, the excellent showing at CES that we will be a in a very good position to continue our track record and grow the new business trends that we have outlined. We mentioned earlier at the Deutsche Bank conference that we have a target that we have to achieve over the next couple of years and I feel confident that we will be on track to achieve the goal.
Joe Vruwink: Okay, that's helpful. Thank you. And then last question for me, in moving the profitability target up to 14% margins from 12% at the same time you are guiding to a higher cash restructuring outlays this year where that have been an item that was on the decline. So I'm just wondering can I tie that into may be Visteon, I don't know if uncovering is the right word but finding more opportunities in the manufacturing systems to take cost out and that's going to be the savings that are behind the 200 basis points that are long-term targets.
Sachin Lawande: First of all I would say we are looking at driving our efficiency in all aspects of our business. Cost, focus on cost is a very big thing and we have demonstrated that we can take cost out while taking on more programs and winning more business and by the way also executing a record number of new product launches. So this will continue as we have said before this transformation we are just about I would say halfway through this transformation that is still lot more that we see as opportunity that we will go after. And one thing I would like to add is in addition to being more efficient and taking cost out as well as doing some footprint optimization activities, we are also developing all of our technologies as platform technologies. There is a big difference in terms of the cost when you go and develop a solution custom for a customer versus applying a platform across multiple OEMs. This is a transition that we've started already when I first started here towards the second half of 2015 and we will continue to apply this approach which will result in our engineering cost which is a biggest cost here in the company becoming more efficient and that will contribute in a large way to the improvements that we see that will result in the higher profitability. The other thing we've said is also that we expect benefits of scale to factor in. We have I think done very well within the flat environment to drive profitability higher but as the new business wins start to convert into revenue we expect to see the effect of scale also to kick in. Christian, would you like to add anything to this?
Christian Garcia: No. So Joe to summarize what Sachin has said, cost efficiencies, platform based -- move to platform based and third is leverage across a larger revenue base. Those are the three items and the restructuring program that we are instituting or implementing currently is just part of that journey.
Operator: Your next question comes from the line of Tavis McCourt with Raymond James. Please go ahead.
Tavis McCourt: Hey thanks for taking my question, a couple. First on the China business, so if you look at 2016 ex-foreign currency changes it was up 43%, I don't have the kind of China production numbers top of my head, but obviously that's well above overall domestic production. And so I'm trying to get a sense of how sustainable is that level of growth in China above and beyond China production levels. And then if you could help us understand how much of your China business runs through the consolidated JVs versus those that run through wholly-owned subsidiaries? And then second one more of a strategic question, Sachin, on the autonomous products or platforms you expect to be announcing next year. Can you help us understand why you are not late to this market? So from kind of our perspective number of Tier 1 suppliers and Tier 2 suppliers and players from outside the auto industry and most OEMs had several announcements on autonomous projects, why is this not a way to succeed?
Sachin Lawande: Certainly Tavis let me have Christian answer the first part of the question.
Christian Garcia: Before I turn it over to Sachin talk about China, I just wanted to correct what something you said the 43% is Q4 okay and that compares to the production volumes of about 16%. So on a year-on-year basis full-year we went up by 26% and that is compared to 14% production volumes, okay. So the question that you had is whether or not this is --
Sachin Lawande: And those are the main drivers of our performance in China were the new product launches. We started to see first effects of the new product launches in Q3 of last year and that impact continued into Q4 and we expect to see that continue into 2017. In addition, we also have a very healthy level of new product launches planned for China in 2017. So the combination of the product launches last year and this year we expect that to drive our performance in China to a similar level in 2017 as well. Now turning to the second part of the question why do we believe we are not late to the autonomous driving opportunities. What I would like to say here Tavis is that, there is a big shift in terms of underlying technologies that are required to implement Level 3 and higher automation as compared to Level 1 and 2. Level 1 and 2 what you would term as ADAS can be implemented with conventional technologies. Conventional by that I mean normal programming and software approaches for image recognition and detection and classification that are the sort of the underlying technologies that drive those applications. As we go into the autonomous driving world the level of accuracy that can be achieved with conventional technologies are not sufficient to be able to handle all the very different and wearing conditions that you would expect on the roads for autonomous driving. To be able to achieve that you have to get into a couple of different areas that are extremely new, very new to the industry as a whole. One is the general topic of sensor aggregation and sensor fusion. So you cannot do Level 3 plus autonomous solutions with a very distributed approach where the sensor data is processed at or near the sensor itself. The data has to be aggregated into a compute module and has to be fused together so that's one challenge. The second challenge is that then you have to apply machine learning to be able to continuously improve the capabilities. Both capabilities for the industry are very new and when you hear about different companies talking about their approaches most of them are still largely based on conventional approaches. So the approach that we have taken however is to tackle the hard problems of building a fault tolerant hardware that's going to fuse all the sensor data in a central place and then offer a capability on API for machine learning software to run on top of it. This approach we have tested with many OEMs through advanced discussions on this approaches and the response that we have been getting is highly encouraging to say the least. So we believe that the industry is still at very early stages of developing the technologies for the future of autonomous driving. We are not at all late to the party here. In fact if anything I think our approach is probably ahead of the approaches that are taken by many of the current ADAS players and I believe at the end of the day all of them will also need to evolve their solutions and move up the technology curve to be able to tackle the challenges that I just described. So hopefully that gives you a sense of what we are doing that's different from what our competitors are.
Tavis McCourt: Yes, that's helpful and then final question I guess more of a clarification so obviously 2016 turned out to be a great year for new business wins and you mentioned $12 billion is the goal for 2017 and 2018 is that just from kind of your legacy business or that include business wins from the new businesses as well?
Sachin Lawande: It is primarily from current core products and we have indicated that we expect only a fairly small share may be 10% of that to come from the new products that we are launching or will launch here very soon such as Phoenix Infotainment.
Operator: Your next question comes from the line of Ryan Brinkman with J.P. Morgan. Please go ahead.
Ryan Brinkman: I think it seems clear to me that there is increased interest in Visteon in the public markets following the HARMAN's agreement to be purchased by Samsung right, because you guys are now a public share play in terms of automotive electronics infotainment which investors have identified as a strong growth area. I think you could see evidence of this in the amount of investors that crowded into you tent at CES this year relative to your past and arguably you can see them a share price too. So my question is would it be reasonable to assume also that there is increased interest in Visteon in the private market, is a consumer electronics or software technology company thought that they needed to gain entry into automotive electronics. Would an acquisition of Visteon give good way for them to go about gaining that interest and then conversely are there technologies or company that you are potentially looking to acquire, how would you raise your appetite for M&A generally?
Sachin Lawande: Yes, well both are good questions but frankly Ryan what I would like to do here is not to focus on hypotheticals. The short answer to your first question is who knows right and we here are really focused on driving hard on the opportunities that we see which as you can see from this earlier discussion are just tremendous. There is a lot to be done; we are roughly half way through our transformation. We see tremendous further value creation opportunities and for that we need to remain extremely focused. So the thing that we are trying to drive within Visteon here is a culture of a focus and execution sticking to our strategy and then really delivering above our customers' expectations. With respect to appetite that we may have for certain technologies or capabilities that we should acquire, we are definitely looking at those options and at the same time I would say that we have a very disciplined approach in terms of not overpaying or paying beyond what we see as fair value for those assets. So we have demonstrated that we can implement and build technologies organically on our own and unless there is a compelling reason why a position would help such as perhaps pull in the time to revenue unless we find really good options we would stick to our current strategy. But we are continuously looking, we are very interested in talking to companies and finding out what's out there that might benefit our strategy.
Christian Garcia: Right. So Ryan if I can add to that, the criteria that we use in selecting candidates are up clearly fit, the returns that we could generate from M&A activity, and the third is time to value extraction, if it takes a long time then we would drive to build it ourselves.
Ryan Brinkman: I see that's very helpful, thanks. And then just may be a more conventional question, of the strong sort of EBITDA margin expansion that you see over the next several years, I mean it's been driven I think in large part by this SG&A leverage even lower dollars in some periods year-over-year. As you start to invest more in Phoenix et cetera and then that result in strong organic revenue growth. Subsequent to that, should we start to think about more gross margin leverage are contributing to the operating margin expansion rather than leverage of fixed operating expense?
Christian Garcia: Right. So there are really two stories. One is the outer years where we're actually going to see the benefit of the backlog that we have created here. But in the coming years in 2017, there is no question we would challenge. If you think about what Sachin has mentioned earlier we are going to see EBITDA growth through cost efficiencies platform based and also the leverage towards a larger scale. We would wait for the larger scale in 2019 and beyond. The platform based we are still continuing that transformation and so in the very near future it's all about cost efficiencies right especially in 2017 where we get very little help from the top-line.
Operator: Your next question comes from the line of David Lim with Wells Fargo. Please go ahead.
David Lim: Hi good morning congratulations. Just two questions. There has been lot of talk about border tax and I was wondering if you guys could give us a little bit more color on how would that impact you. I know right now more theoretical and hypothetical but other suppliers have sort of -- gave a little bit of framework and we are wondering if you could do the same there and then after that I have one other follow-up?
Sachin Lawande: Sure. Hi, David. Well the short answer is that we can't really provide you with too much in terms of specifics with respect to all of these changes that are being discussed by this administration. Having said that we continue to analyze any potential changes and how that might impact our business and there are quite a few. There is talk about so-called border tax adjustments, there is NAFTA, and sometimes I think people use them interchangeably which is probably not accurate. So until there is more specific information that's available to us that we can then correlate to the impact of the business, I think it's too premature to talk about it. But let me at this point turn this over to Christian to see if you would like to add any more color to it.
Christian Garcia: Right. What I would like to add to Sachin's comments is really NAFTA, I should not David, is a trade agreement between Canada, U.S. and Mexico that specifies the duties and tariffs apply to the trade within those countries. Ultimately the way we think about this any replication of NAFTA will have to go back to the guidelines of the World Trade Organization and obviously that's the body that governs trade among its member countries and United States is part of that. So that's NAFTA. The other one is border tax adjustment and that's why we like to bifurcate the two because the border tax or border tax adjustment on the other hand is a component of Congress's effort towards corporate tax reform. They will say proposal from Congress as you know what they call the House Blueprint. And the Blueprint has many elements actually there are many elements that are actually positive for business. They actually reduce the statutory tax rate from 35% to 20%. It has a deemed tax for repatriation that incentivizes companies to bring back taxes, bring back cash to the U.S. certain exclusions and eliminations and the border tax which eliminates the deductibility of cost imports for tax purposes. So all this I have said let me supersede it by the administration's own proposal for on tax reforms. So as Sachin mentioned it's too early to say that whether or not there is going to be a revision to NAFTA or there is going to be a passage of our bill that reform our tax, corporate tax code or both. And many economists are also theorizing that there need to be adjustment to exchange rates that would mitigate any additional cost associated with any sort of change. So given all this it is quite impossible to ascertain the implications for the company but as you can say, as you can see we are monitoring this very closely.
David Lim: Got it, thank you. And my follow-up is on the infotainment Phoenix platform seems very impressive. Sachin any kind of idea or indication of how early you can announce a win and just some color on if you could provide some additional color on the receptivity of Phoenix so far since the CES launch? Thank you.
Sachin Lawande: Sure. So at CES I think you or David we had an excellent deception of this new technology by all of the customers. And what I was really pleased with was that we were able to follow-up with all of those opportunities that CES opened up within about four to five weeks. So we had detailed discussions with engineering teams at OEMs all over the world and we are in further discussions and follow-ups that such a engagement typically entails. Infotainment tends to be a fairly large decision for any OEM. They have their existing set of suppliers. As I mentioned in my comments when it comes to mid and high infotainment, the list of competitors is actually pretty small. And I think with the changes and some of this sort of the landscape shifting that has occurred it creates opportunities for us beyond what just the technology and the newness of it and the capabilities would lead one to think. So my expectation is that we will start to see more in the second half because it takes a fair amount of time for these opportunities to convert from discussions into decisions and so I would stay tuned second half of this will probably be when we will be talking about Phoenix in terms of wins.
Operator: Your final question comes from the line of Brian Sponheimer with Gabelli. Please go ahead.
Brian Sponheimer: Just a couple of quick ones as most have been answered. Christian if you could just talk about the balance sheet adjustments that drove the $10 million year-over-year EBITDA growth and how much that repeats currency levels in 2017?
Christian Garcia: Yes. So as I mentioned $10 million actually was impactful for Q4 and it's a one-time -- it's a balance sheet evaluation for the Yen and Euro, mostly on the Yen, and I'm not going to speculate on what the currencies are, but given the fact that it's that large we would expect that to be to one-time benefit in the quarter.
Brian Sponheimer: Okay. And then on the $400 million buyback you said a mix of open market purchases and ASR, any idea as to what that balance would be and potential thoughts on timing on when you'd like to get going on it?
Christian Garcia: Yes. We're not going to provide details on that in this call. But what I'd just say that we're currently in a blackout period and we will execute sometime after -- after we get out of blackout.
Operator: Thank you. I'd like to turn the call back over to Sachin for any closing remarks.
Sachin Lawande: Okay. So thank you and with that what I would like to do here is to thank everyone for participating in today's call and for your ongoing interest in Visteon. At this point, we will end the call. Thank you.
Operator: This concludes Visteon's fourth quarter and full-year 2016 earnings conference call. You may now disconnect.